Operator: Greetings and welcome to the Align Technology Second Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ms. Shirley Stacy, Vice President of Corporate and Investor Communications. Please go ahead.
Shirley Stacy : Good afternoon and thank you for joining us. I'm Shirley Stacy, Vice President of Corporate Communications & Investor Relations. Joining me for today's call is Joe Hogan, President and CEO; and John Morici, CFO. We issued third quarter 2017 financial results today via Marketwired, which is available on our website at investor.aligntech.com. Today's conference call is being audio webcast and will be archived on our website for approximately 12 months. A telephone replay will be available today by approximately 5:30 PM Eastern Time through 5:30 PM Eastern Time on November 9. To access the telephone replay, domestic callers should dial 877-660-6853 with conference number 13671493 followed by pound. International callers should dial 201-612-7415 with the same conference number. As a reminder, the information that the presenters discuss today will include forward-looking statements, including statements about Align's future events, product outlook, and the expected financial results for the fourth quarter of 2017. These forward-looking statements are only predictions and involve risks and uncertainties that are set forth in more detail in our most recent periodic reports filed with the Securities and Exchange Commission. Actual results may vary significantly and Align expressly assumes no obligation to update any forward-looking statements. We've posted historical financial statements, including the corresponding reconciliations and our third quarter conference call slides on our website under Quarterly Results. Please refer to these files for more detailed information. With that, I'll turn the call over to Align Technology's President and CEO, Joe Hogan. Joe?
Joseph Hogan: Thanks, Shirley. Good afternoon and thanks for joining us. On our call today, I'll provide some highlights on the quarter, and then briefly discuss the performance of our two operating segments, clear aligners and scanners. John will provide more detail on our financial results and discuss our outlook for the fourth quarter. Following that, I'll come back and summarize a few key points and open up the call to questions. I'm pleased to report another strong quarter and Q3 results that exceed our expectations across our key financial metrics including revenue, volumes, margins and EPS. Our Q3 revenues increased 38.3% year-over-year driven by increase Invisalign volumes across all of our geographies as well as strong growth from our scanners. Our strong Q2 results also reflect accelerate growth from teenagers in both North America and Asia Pacific with total Invisalign shipments to team up 46.3% year-over-year and up 26.5% in Q2. On sequential basis revenues increased 8.1% driven by continued strength across Asia Pacific which offset expected seasonality in Europe as well as higher than expected revenues from shipments [as record]. For North America, Q3 Invisalign case volume was down 1.1% sequentially reflecting a decrease in GP dentist channel due to less patient traffic and fewer days in the office from the summer holidays. In addition, as result of the devastation caused by hurricane Harvey and Irma, we estimate that our North American volumes are lower by approximately 1,500 cases in Q3 and mostly adults. These declines were partially offset by strong growth from the ortho channel, specially teens. On the year-over-year basis North America was up 25% reflecting strong growth from the ortho channel, driven by an increase in team patients and in Invisalign express life products. Q3 in Invisalign volume for international doctors is up 6.8% sequentially, driven primarily by Asia Pacific region, which offset expected summer seasonality declines in EMEA. On year-over-year basis Invisalign volume was up 47.4% reflecting strong growth from both APAC and EMEA. In EMEA, Q3 volumes were up 37.6% year-over-year lead by our core European markets particularly Spain, UK and France. We also saw strong growth across all of our smaller expansion markets, which includes central and eastern Europe, Benelux, Middle East and Africa, the Nordics and Russia. In APAC Q3 volumes were up 57.4% year-over-year with record Invisalign across all country markets led primarily by China, Q3 marked the first quarter in which China was our second largest market in the world behind United States. Our asset customer base in APAC is almost triple year-over-year with over 1500 [doctors to entered] in Q3 mostly within China. Turning to the teen market, over 698,000 teenagers started treatment with Invisalign clear aligners in Q3, up 26.5% sequentially and 46.3% year-over-year, reflecting a very strong summer teen season and accelerating growth rates. North American ortho teen cases increased 22.9% sequentially and 43.6% year-over-year reflecting our continued efforts to drive adoption of teenage patients through sales initiatives and our direct-to-consumer campaign emphasizing teens and mom. For international Q3 teen cases increased 36.7% sequentially and 65.7% year-over-year driven by accelerated growth across the APAC regions primarily led by China. The introduction of Invisalign treatment with mandibular advancement is helping to raise visibility for Invisalign treatment of teenagers and contributed to some of the growth in the APAC region. We call the Invisalign treatment of mandibular advancement is the first clear aligner solution for Class II correction that advances the mandibular while moving teeth at the same time. Mandibular advancement is intercooled to increasing teen adoption. Approximately 30% to 45% of teen cases globally need Class II correction. Based on early indications we are seeing a positive correlation between those customers who use our mandibular advancement feature and the increased teen utilization. One example is [Dr. Lethic] in Canada, who has seen the benefits of switching from an analog to digital method of orthodontist not just with mandibular advancement but with Invisalign treatment in general. With the launch of mandibular advancement and because of the renewed commitment to being fully digital in phasing out the use of metal braces [Dr. Lethic] has started 162 patients in Invisalign treatment since Q2 '17. Of those 120 were teenagers and 24 were treated with mandibular advancement features. This is compared to only 3 Invisalign patients in 2016 and only 1 Invisalign case in the first quarter of this year. That's an amazing transformation of [Dr. Lethic's] business and speaks towards the impact of digital growth for patients. Invisalign treatment with mandibular advancement is not available in the United States yet, as it's currently pending FDA approval. Our consumer marketing programs continue increased demand for Invisalign's treatment and our key to adoption in both the teen and adult segments. Each year we invest millions in consumer advertising and social and media campaigns to raise awareness, create preference and help consumers to find an Invisalign practice near them. In 2017, we increased our investment in consumer marketing by 60%, which we believe is contributing to our strong growth. But despite our efforts most of the consumers interested in Invisalign's treatment still end up in metal braces or don’t start any type of orthodontic treatment at all. This is phenomena isn’t new and we've been working through years to identify gaps like these and develop solutions that turn more consumers into Invisalign patients for our customers. In January, we launched a new consumer capture program with a Smile Concierge team enrolling with Carolina whose goal is to reach more consumers one-on-one and ensures that anyone that contacts us directly has the best experience with Invisalign brand beginning to end. Our Smile Concierge service educates consumers on the benefits of Invisalign treatment, answers their questions and help them to schedule an appointment and Invisalign providers from our next level partnerships listed as DIT on Invisalign.com.locator. The team also follows up with consumers through digital apps and email to find out whether they keep their appointment and start Invisalign treatment. It's really existing to see how something as simple as direct personal touch has resulted in such positive response from our consumers and adopters. The team received incredible feedback from consumers every day, who appreciate the white glove service we provide which is translating into shorter research cycles for the average consumer interested in the Invisalign treatment and a win-win for Align, our customers and consumers. Over the past 10 months our Smile Concierge team have contacted 50,000 consumers, who took a smile assessment on Invisalign.com and scheduled 20,000 consultations with nearly 800 Invisalign practices across the U.S. Today 5000 have already started treatment within an Invisalign provider which equates to millions of dollars in revenue through Invisalign practices and we're just getting started. Our new Smile Concierge service is not only helping turn more consumers into Invisalign patients, we're also learning a lot about consumer conversion. For example, convenience and speed of contact are critical to conversion. If we can't schedule an appointment for consumers see a doctor within 72 hours mean they can't get on to the doctor's schedule within three days, the likelihood of that consumer converting to Invisalign patient drops by 40%. On top of that for the consumers that get scheduled for a consultation, 65% of them cites financial concerns as the reason don’t start treatment with 25% of them stating that a high down payment in the practice is the main barriers of acceptance. With that in mind as part of our smile concierge service, we just launched a patient financing pilot, that address consumer financing concerns as well as insurance coverage for orthodontic treatment. In developing this project, it's important for us to find the solutions that offers consumers the ability to customize their own down payment, monthly payment and interest rate in a way that can fit into any budget. Equally important is providing an end to end digital workflow for both the consumer and the doctor and with our new third-party financer partner, we’ve done just that. When consumers finance their treatment through us and Invisalign providers no longer pay Align, instead they just receive payment for the treatment fee minus Align's lab fee. By changing the financial relationship between the patient, Align and the provider, Invisalign treatment become a revenue source for the provider and eliminates the needs for them to pass on the high down payments to patients. Finally, we've also learned what’s important for consumers when it comes to choosing Invisalign practice and digital technology really matters. As part of the smile concierge referral process consumers are offered the top three Invisalign practices in their areas and it turns out that the iTero scanner is one of the key influencers. While this isn’t surprising to us, it is important to be able to validate another example of digital technology like our iTero inner oral scanner replacing an old analog process like PVS impressions. With that let’s review the results for the iTero business. Q3 was a strong quarter for iTero and better than expected with revenues up 25% year-over-year on record iTero scanner shipments. The iTero scanner is central to restore the workflows and key to our GP strategy. In Q3, we saw a nice uptake by GP dentist with record contracts out of GP summit September. Q2 results also reflect the initial uptake of iTero scanner from its first commercial availability in Japan as well as from our new distribution agreement with Paterson Dental in United States and Canada. Use of the iTero scanners from Invisalign case submission in place of PVS impressions continues to expand and remained a positive catalyst for Invisalign utilization. For Q3, total Invisalign cases submitted with a digital scanner in North American increased to a record 61.9% up from 48.8% in Q3 of last year. Overall, we continue to be excited about the long-term potential for at home doctor directed market and are pleased with our equity investment and supply agreement with SmileDirectClub. For Q3 in aligner shipments to SmileDirectClub or SDC were higher than expected and more than doubled sequentially reflecting continued strong volume growth as well as a shift to Align manufacturing more of SDCs aligners than what SDC internally produces. As SDC's is exclusive third partly supplier this quarter we produced about two thirds of the Clear aligner volume as compared to only one third in the prior two quarters. While this shift was not anticipated our world class manufacturing operations can accommodate changes in SDCs order flow easily. We are pleased that we are able to support their continued rapid growth. With that, I'll now turn it over to John.
John Morici: Thanks, Joe. Now for our Q3 financial results. Total company revenue for the third quarter was a record $385.3 million, up 8.1% from the prior quarter and up 38.3% from the corresponding quarter a year ago. Clear aligner revenue up $341.6 million was up 6.4% sequentially, and higher than expected volume and variable foreign exchange rates as well as increased revenue from shipments to SEC. Year-over-year clear aligner revenue growth, of 40.2%, reflected strong Invisalign shipment growth across all customer channels and geographies, increased Invisalign prices and revenue from shipments to SDC. Q3 Invisalign ASPs were up sequentially approximately $25 from Q2 to $1,310 reflecting favorable foreign exchange, a favorable shift in our product mix and price increases partially offset by increased promotional discounts. On a year-over-year basis, Q3 Invisalign ASPs were also up $25, reflecting price increases, an increase in additional aligner revenue, favorable foreign exchange partially offset by increased promotional discounts. For the third quarter, total Invisalign shipments of [236.1000] cases were up 1.8% sequentially, driven primarily by our Asia Pacific doctors and North American orthodontists. Year-over-year Invisalign case volume growth was up 32.8%, driven by growth across all regions, as well as expansion of our customer base, priced predominantly from Asia Pacific. For North American orthodontists, Q3 Invisalign case volume was up 1.8% sequentially and up 31.9% year-over-year. For North American GP dentists, Invisalign case volume was down 5.2% sequentially and up 15.9% year-over-year. For international doctors, Invisalign case volume was up 6.8% sequentially and up 47.4% year-over-year. Our Scanner & Services revenue for the third quarter was $43.7 million, up 23.2% sequentially and up 25% year-over-year, primarily due to our continued investment in go-to-market activities in APAC and EMEA, as well as the initial uptick of the iTero Scanner from its first commercial availability in Japan. Moving onto gross margin, third quarter overall gross margin was 75.9%, down 0.1 point sequentially and up 0.8 points year-over-year. Clear aligner gross margin for the third quarter was 77.9%, down 0.2 point sequentially, primarily due to an increase in aligners per case driven by additional aligners, partially offset by higher Clear aligner ASPs. Clear aligner gross margins was up 0.2 year-over-year primarily due to leveraging our manufacturing costs over higher volumes. Scanner gross margin for the third quarter was 60%, up 3.3 points sequentially, primarily due to higher ASPs. Scanner segment gross margin was up 2.9 points year-over-year, primarily a result of lower service costs. Q3 operating expenses were $193.7 million, up sequentially by $6.4 million or 3.4%, primarily related to increased global head count. On a year-over-year basis, Q3 operating expenses were up 31.7%, reflecting increased head count and continued investment in our go-to-market activities critical to the growth of our business. Our third quarter operating margin was 25.6%, up 2.2 points sequentially and up 3.3 points year-over-year. The sequential increase in operating margin relates primarily to increased clear aligner volume. On a year-over-year basis, the increase in operating margin primarily reflects higher revenue and lower cost per case partially offset by increased head count and higher marketing expenses. With regards to our third quarter tax provision, our tax rate was 17.9%, which includes $1.7 million in excess tax benefit and is down by approximately 0.5 points compared to 18.4% in the same quarter last year. Primarily due to 2017 adoption of ASU 2016-9 which requires access tax benefits related to stock based compensation we recognized as a reduction to tax expense and certain one-time tax charges encored in the prior year from implementing our new international corporate tax structure. The revenue and cost to supply aligner small direct club are included in our operating profit and reported results. Additionally, we report our share of SmileDirectClub's losses below operating margin and our tax provision, and is entitled Equity and Losses of Investee, net of tax. Our share of SSE loss net of tax in Q3 was approximately $1.6 million decreasing our diluted earnings per share by $0.02. Third quarter diluted earnings per share was $1.01 up 18.8% sequentially and up 60.3% compared to prior year. Moving onto the balance sheet, as of the third quarter cash, cash equivalent and marketable securities, including both short and long-term investments, were $739.9 million. This compared to $676.6 million at the end of Q2, an increase of approximately $61.3 million, primarily related to earnings growth. Of our $737.9 million of cash, cash equivalents and marketable securities, $236.3 million was held by the U.S. and $501.6 million was held by our international entities. Q3 accounts receivable balance was $321.3 million, up approximately 10.2% sequentially. Our overall DSO was 75 days, up 1 day sequentially and down 3 days from 78 days in Q3 last year. We anticipate that our DSOs will continue to decline over the next few quarters. Cash flow from operations for the third quarter was $118.1 million, up $58.3 million compared to the prior year. Free cash flow for the second quarter, defined as cash flow from operations less capital expenditures, amounted to $70 million. Capital expenditures for the third quarter were $48.1 million, primarily relating to building improvements purchases and improvement, equipment purchases for additional manufacturing capacity as well as our global expansion efforts. During the third quarter, we concluded our previously announced $50 million accelerated stock repurchase. We received a total of 0.4 million shares under the ASR, at a weighted average share price of $146.48. We have 250 million for repurchases under the existing stock repurchase authorization. With that, let's turn to our Q4 outlook and the factors that inform our view, starting with the demand outlook. For our international, we expect Invisalign volume to be up from Q3 as EMEA customers return from seasonally slower summer holidays, partially offset by a slight decreased in the APAC as the greater China market observes the golden week holiday. For North America, we expect Invisalign volume to be up sequentially reflecting the seasonally stronger quarter, partially offset by some lingering effects of Hurricanes Harvey and Irma. For our scanner business, we expect slight sequential increases but in a typical strong end of the year demand for capital equipment. Q4 sequential growth reflects the benefits from orders taken at our North America GP Summit in Q3 and global expansion. As Joe commented earlier, this quarter we produced two thirds of SEC aligners. However, we expect our aligner shipments to SEC to be down sequentially in anticipation of a production ship back to their own internal manufacturing. With this as a backdrop, we expect the fourth quarter to shape up as follows. Invisalign case volume is expected to be in the range of 245,000 to 250,000 cases, up approximately 29% to 32% over the same period a year ago. We expect Q4 net revenues to be in the range of $391 million to $398 million, an increase of approximately 33% to 36% year-over-year. We expect Q4 gross margins to be in the range of 75% to 75.5%, reflecting higher ASPs, partially offset by higher expenses as we regionalize our treatment planning operations. We expect Q4 operating expenses to be in the range of $198 million to $202 million, up on a sequential basis to reflect our continued investments in go-to-market activities. Q4 operating margin should be in the range of 24.3% to 24.8%. Our effective tax rate, including an excess tax benefit of about $1 million, should be approximately 22%. We expect a $1.5 million loss related to our share of SmileDirectClub and diluted shares outstanding should be approximately 81.9 million, inclusive of any share repurchases. Taken together, we expect our Q4 diluted earnings per share to be in the range of $0.92 to $0.95. In addition, as we continue our operational expansion efforts, we expect CapEx for Q4 to be approximately $55 million to $60 million, and we expect depreciation and amortization to be $10.5 million to $11 million. With that, I'll turn it back over to Joe for final comments. Joe?
Joseph Hogan : Thanks, John. We're pleased with the performance the business and feel good about the overall momentum and strength of aligner. With that we will open up the call for any questions. Operator?
Operator: Thank you. [Operator Instructions]. Our first question comes from the line of Robert Jones with Goldman Sachs. Please proceed with your question.
Robert Jones : A very big step up in ASP, John you touched on some of the factors that affect mixing and pricing increase but it does look like that you're calling for this is to be sustainable through the end of the year. So, I was may be hoping if you could just talk about the drivers and I guess may be specifically, mix and the pricing increases where I will be most interested in what's driving that why you think that looks like it will hold at least through the end of this year.
Joseph Hogan: Good question, you're right we did see some mix benefits with some volume that came through Asia, so that helps up from overall stand point we saw some FX favorability that came in this quarter. As you noted we have price increases that is in our numbers as well, partially offset by some discounting, so netted altogether we feel that for fourth quarter, flat to slightly down in Q3.
Robert Jones : Okay I got it and then I guess just on the patient financing interesting new wrinkle, Joe was hoping maybe you could talk about the opportunity there. Any data or survey work you guys have done that might help us get ahead around how many people actually may be go to doc locator or go to see a doctor about perusing Invisalign but ultimately don’t elect to do the treatment because of cost. Might help us frame, how this might help the opportunity there.
Joseph Hogan: About two questions, we don’t have any real statistics to tell you, how many people going doc locator and but we could tell you, from our consumer capture efforts and we talked about this concierge service, this is one of the big items that consumers have to deal with, often orthodontists also ask for a large down payment upfront too that even if a customer can avoid credit, it's still a pretty hit from a cash standpoint upfront. We think this will be a good factor for us and helping to bring more consumers into Invisalign but we don’t have any statistics right now to tell you exactly what that might be, I would say just stay with us and as we go through this we will able to give you more and more specific on it.
Operator: Our next question is from the line of Steve [indiscernible] with Morgan Stanley.
Unidentified Analyst: Two from me on the same basic concept and it's about the trajectory of investment in the business. I have to imaging you feel happy on the marketing expense trajectory and on the efforts in Asia that these have paid off, as well as they have, and you give you couple of interesting statistics on, I think it was growth and marketing spend and something like a tripling of the customer base and I believe that was a broader Asia. Could you talk about one, how you think about the growth of marketing spend and the commercial team from here and then two, a similar question, more specific to Asia, how you think about the remaining runway for customer acquisition, considering how much success you have a much you probably learned about how things are working there.
Joseph Hogan: Steve, so on the marketing spend, I would just way we just continue to do what we can in a sense of driving volume. There is no formulating methodology we have here, we mean obviously we focused on teens in a big way. In North America to get a look that we had. That spend also has been I think really refined in the sense of how much of social media, how much goes to some other segment how much go to the team that have done, so I feel there is the lot of accuracy and sophistication in a sense of how we go about it. But we do know that we had a pretty big signal in the sense of being able to spend more of in that channel and see an increase in orders and we will keep spending where we can. I think a broader question in that and I believe then your second one is how we do this oversees too. North America a lot of our marketing dollars, our teams were focused in the third quarter in the second quarter also. But we look at translating what we are learning here in the United States oversees and we've had a pretty good response from a teen standpoint in China also and now we have some restrictions in the sense of how you can advertise in certain geographies and we have to be compliant in that sense but we will be smart in the sense of how we use as advertising dollars. From an Asia runway standpoint, I mean we talk about going wide in the business you saw we train another 1,000 docs overall in China for the quarter. There is a direct correlation in the sense of being able to train those docs and we see the increase in orders going forward. Remember our penetration rates in places like in China are still relatively thin when you think about the available population. Also, India, we are really just getting started in Korea and Taiwan. In Australia we saw terrific growth there too and that's a market that we've have had fairly good penetration rates and over the years and so there is different formulas we have to use for different geographies in the sense of adding sales people, adding docs, like in Australia it's a different deal in the sense of it is more like North America where it's advertising a specificity where you spend from a sales standpoint that helps in that way. But I know I'm not helping you a lot Steven in the sense of being able to model that, but tell you that we obviously watch as closely, we want to invest in the sense of where we get the biggest return and we do watch that part also.
Unidentified Analyst : If I could just sneak one housekeeping item. I wonder if you have any updates on timelines in the U.S. for mandibular advancement and for iGo?
Joseph Hogan: On mandibular advancement we expect to hear back from the FDA in December sometime and that's all we know. It's like that when you do that, you submit your data and then basically the FDA kind of goes behind closed doors and kind of works through it but we feel we have submitted good data and we will just wait and see what happens in December. And now from an iGo standpoint remember we keep better rating on iGo and in different parts and different geographies in the sense of the product itself and how that interacts with the doc and the patient and we've had -- we continue to do well with that product line but you'll see more data on that on iGo and as iGo success as we get into -- as we report the fourth quarter next year we have more specificity on that.
Operator: Our next question is from the line of John Kreger with William Blair. Please proceed with your question.
John Kreger : Joe, obviously the years split are very, very well in terms of volumes. Can you just talk about how the infrastructure is holding up? Are you starting to see any bottlenecks or choke points that could be challenges if the demand continues to be this strong?
Joseph Hogan: Obviously when you start to grow at this rate above what we've predicted, we've been able to stay ahead from the manufacturing standpoint we always go to certain amount of buffer capacity so we cover things like this. Initially we had a little bit of trouble in the sense of clean check and our people did actually do the clean check pieces but we experienced that back actually in January or so we adjusted to give us extra capacity for the year or so. Right now, we're in good shape, it's a good thing about this business in the sense we can adjust capacity pretty quickly within a certain number of weeks and months when we have this kind of things, but we're trying to anticipate and lay resources ahead of these things, so we don’t get into a situation where we can't handle demand.
John Kreger : Great thank you and then, may be any early thought on 2018 and sort of key puts and takes, for example should we think about the storms here in North America as may be causing you to start more slowly or may be giving you a little bit of pent up demand as you move into next year.
Joseph Hogan: I wouldn’t call the storms material at all, I probably wouldn’t even consider that in your accusation. And right now, we kind of talk about this, we anticipate there will 2018 questions but we have good momentum now you can see us going into fourth quarter. And I think John has given you some really strong indications of where the fourth quarter is going to be and so we try to be as specific as we could to help in that sense but we are really not ready to get into conjecture on 2018 at this point.
Operator: Our next question is from the line of Jonathan Block with Stifel.
Jonathan Block : May just a first one, the international case volume there was tremendous, notably APAC. You mentioned the train docs and that was certainly big, but is some of that drill also due to the local treatment planning facility that just opened up or is arguably that even too soon to be yielding benefits and that so might be on the come in subsequent quarters.
Joseph Hogan: I would say right now that I won't call any extra volume right now John associated with those, in fact we discussed that from -- we were in Germany, just last week to take a look at our [indiscernible] facility we opened up in Cologne there and honestly, it's just starting to ramp up, the initial indications, like just like in China these are really good, they interface well with customers, the teams there are very excited in sense of what they can do. Just getting closer to those customers and being in that geography from a cultural and timeframe standpoint is really critical, so that really hasn’t impacted volume yet, but we will give a report as we get into next year and this becomes a little more mature. I mean we obviously put that in there because we think, mid -term longer term, this is going to a volume driver for us.
Jonathan Block : Got it, actually you just answered the question with the very last statement. That’s perfect. And then just to shift gears, patient financing pilot, I want to make sure I got my arms on this correctly, so the doc gets the treatment fees, less Align's lab fee. So are you guys the one taking on the financing risk and if so, should we think about it as a potential long-term tailwind to sort of your realized ASP offset by what could be sort of the theoretical bad debt expense on the consumer, may be if you can just talk through that. Thanks guys.
John Morici : No, it’s a third party that would take on any of the financing sort of bad debt, or anything out that comes with this would be third party, it would not be associated with us at all.
Jonathan Block : Okay so zero impact to your ASP.
Operator: Our next question is from the line of Matt O'Brien with Piper Jaffray. Please proceed with your question.
Unidentified Analyst: Good afternoon team, this is Kevin on for Matt today, thanks for taking the time. I wanted to take a moment on iTero which seems to be the focus for this year and beyond and with record shipments, I'm just curious, how you're looking at the trends for case submissions and the broader strategy on the ground for iTero, seems like a bigger piece than we previously anticipated. I know you mentioned -- and the second part of the question, as I know you mentioned in the prepared remarks about the lower patient traffic in summer holidays. Just wanted to reconcile the sales effort on the scanners and the GP offices and kind how does that relate to the lower volume in the quarter. It seems a bit of a mismatch.
Joseph Hogan: You remember last year Tim we were shipping a lot from backlog on the volume piece. What you are seeing this year is a pure demand signal there is nothing really coming out of backlog. So, I think if you are talking about that discrepancy that's the one I'd other point out. On your broader question on the volume of the business I think it's important for you to understand that when we talk about sales last year of iTero, its broadly an North American business. What we're seeing now we're seeing an increase uptick in Europe, we just approved in Japan, we had significant semantic shipments in Japan in the third quarter also and we'll move into Asia broadly into more next year. I say the business is just getting broader internationally and that adds to the volume also. But in the United States I hear in your comments that I think you understand that we've have a really good amount of orthodontic penetration with iTero, and more and more of our sales are moving into GPs and so that's one of the reasons we put together the Patterson dental distribution agreement because of their strong position with GPs and help us through so we have some work to do on restore the workflow in areas like that to be more viable in that channel but we've got a really good pickup and we are enthusiastic about the future in North American channel for GPs too.
Unidentified Analyst : I mean the second question kind of comes from China. I think a few folks touched on this to just wanted to discuss just the utilization trends in that market and the strategy that's kind of done differently there that you would highlight versus the rest of the international markets. Is there anything on the grounds that I am missing driving this or is it just continued adoption training and utilization as you would expect?
Joseph Hogan: Continual adoption, training and utilization just as you described it Kevin. I wish I could make it sound harder and more sophisticated but it's about getting resources in place and moving it through. Now you know we just put up a treatment planning facility in China and that's really, they are ramping up well we are getting good customers feedback and so you know we will continue to do more and more resources to enhance that position in China in the future.
Operator: Our next question is from the line of Erin Wright with Credit Suisse. Please proceed with your question.
Erin Wright: Just as a follow-up on sort of the Scanners. I guess what sort of traction are you seeing for kind of standalone I guess versus sort of the closed architecture systems just given sort of the distribution shift that we've been seeing kind of in the U.S. and is there stocking dynamics that we should be considering here in near term? Thanks.
John Morici : I missed that question, can you rephrase the question?
Erin Wright: iTero.
John Morici : Yes, I know that’s iTero, but it was underneath that.
Unidentified Company Representative : What do you mean by closed systems?
Erin Wright: Like closed architecture systems involving like [Indiscernible].
Joseph Hogan: You mean like a Scarano system. [indiscernible] But Scarano they are capable of doing a scan and sending it into us and you can bypass them and an impress them with a Scarano Scanner. You can't necessarily get stimulation and lot of visualization and things that we offer on the iTero side. Does that answer -- and then you talk about did you, you talk about capacity on iTero or…
Erin Wright: Yes, or any sort of stocking with just your relationships there that we should be….
John Morici : I understand what you mean. No nothing like the Patterson, Scarano thing, don’t worry about any kind of stocking things affecting our numbers in a material way.
Erin Wright: Okay, great. And then can you give us an update on this SmileDirectClub and how's that sort of resonating with customers and how you weigh sort of that direct to consumer relationship with all those practitioners as well. Thanks.
Joseph Hogan: I mean, our relationship with SmileDirectClub is good, we value, I think we’re very synergistic in the sense of how we work with one another, remember those are SmileDirect customers, we don’t see them, we don’t really experience them we just do what SmileDirectClub asks us to do it. Obviously, part of your question is a lot of consternation in the orthodontic channel, about doctor directed and kind of systems that will be more of a digital dentistry, remote kinds of things where it's not involved in the doctor's office. Again, that’s not us, we’re not part of that, SmileDirectClub really controls that and holds it, so. I mean there is market for this, SmileDirectClub continues to do a great job in market and grow pretty substantially but it would be stupid to ignore that there is certain amount of consternation in the market place and a pushback but, I think SGC continues to do a great job out there.
Operator: Next question is from the line of Richard Newitter with Leerink Partners.
Richard Newitter : I just wanted to start, your growth trajectory, it continues to accelerate, you're at a level, there is some pretty enormous year-over-year numbers here and I was just wondering if you could reflect a little bit upon, the age old question we always ask you balancing, driving future growth through the investment and dropping to the bottom line and as we kind think about, some of these marketing initiatives that are clearly being paying off, it sounds like you guys are probably at a point where it team's inflecting and you might want to dial over some of these initiatives and is that the way to think about it, you could be at a tipping point here, inflection point in adoption and you guys are going to put the gap total expense or how should we think about your growth for all the investment.
Joseph Hogan: I'll just turn your attention to how underpenetrated we're in this market place, I mean its incredible right. globally we can do 60% to 70% of the orthodontic cases out there today, we have 8%. And so, a lot of the investment and things that we make, whether it's recruiting new doctors in China or its targeting moms and teens here in Untied States, it's about really driving the penetration that there is an entitlement in this business we should have based on what patients want and based on what our technology can deliver. I know there is always questions on leverage out there, our operating profits are over 25%, obviously was held by SGC this quarter, and its significant but we shown good leverages this quarter despite exchange and despite what I call unusual from an SGC standpoint. So, I would say we're getting some leverage in this business, but I don’t expect kind of the material change in this sense of the input, output ratio of this business. We have to continue and invest aggressively in forward sales forces and marketing, especially in technology to stay ahead and to penetrate more to market place. We’ve always said that our goal is 25% to 30% operating profit in this business. We could do that tomorrow if we wanted to, you wouldn't like the growth numbers. Now we're getting close to that lower end and we keep working that piece and we feel good about the tradeoffs that we are actually administrating right now between volume and margin. Does that make sense Richard?
Richard Newitter : It makes a lot of sense and I think a number of investors would agree to it, that are striking the right balance and the trade of there. My second question is just on teens, can you break out a little bit the, continued acceleration that we're seeing in that category, I get a lot of it was held outside the U.S. but in North America what kind of attraction you're getting with the GP channel in teen obviously your orthodontic channels are a little more dominant there but are you starting to see some inflection on the GP side with that segment?
Joseph Hogan: With the GP segment in general I would say no, honestly, I would say I go helping us understand that more and I can tell you the GP segment in the U.S. is certainly different in the segment in Germany than it is in Japan, than it is in China and so each one of these countries kind of has a different solution that we have to work through whether its workflow or what preferences re whatever so. I will not say we are in an inflection point in all the GPs I would say we have a lot of growth. Teen growth for GPs not where they are focus, and so a lot of GPs only touch a teen, they are worried about working teen so that's not a -- and when we talk about teens we are really talking about all ortho channel utilization in the end.
Operator: Yes, and that question is coming from the line of Jeff Johnson with Robert W. Baird.
Jeff Johnson : I'll try to be quick here as the last question so Joe I guess first question just why did we see the increase in SDC volumes in the third quarter? Was there a driver of that was there a reason behind that and why does it revert in the fourth quarter? Do we just kind of live with the little bit of volatility here going forward?
Joseph Hogan: I'll answer your last question first, you live with the volatility going forward Jeff okay. We don’t control SmileDirectClub's decision making process. I'm not quite sure exactly why we receive that much more of SDCs volume but I don’t count on that going forward and that's basically John's comments where in his opening remark. So, I wish I could more specific about it Jeff but I can't and it's just…
Jeff Johnson: Should we at all bring that as a demand spike in the third quarter like all of the sudden volume came in stronger than they expected in the third quarter or do you think it was just them putting out some volume on you?
Joseph Hogan: Well, they continue to grow but I say it's a combination of both but it's not driven discreetly by volume I would say.
Jeff Johnson: Yes, okay and my last question just on the fusion, the iTero fusion program you know you are locking GPs and it's some higher implied volumes there with that program just what's been the response to that program? Has that program taken off or is it taking off and how should we think about the implications for the GP numbers from that program going forward?
Joseph Hogan: I think again I have to move outside of North America in general, the biggest uptick in segments for fusion has been outside of North America, and it's been really received extremely well. In North America right now, we're really just getting cracked up on the fusion piece and we'll have more for you in the fourth quarter results, Jeff.
Shirley Stacy : Well, thank you, everyone. This concludes our conference call for today and look forward to seeing you at upcoming financial conferences and industry meetings. If you have any other questions, please contact Investor Relations. Have a great day.
Operator: Thank you. This concludes today's conference. You may now disconnect your lines at this time. Thank you for your participation.